Operator: Ladies and gentlemen, thank you for standing by, and welcome to RISE Education Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session.  Please be advised that today's conference is being recorded. I’d now like to hand the conference over to your first speaker today, Ms. Karen Gu. Thank you. Please go ahead.
Karen Gu: Thank you, Operator. Hello, everyone, and welcome to RISE Education's third quarter 2020 earnings conference call. Today, you will hear from Ms. Lihong Wang, Chairwoman and CEO; and Ms. Jiandong Lu, CFO. Ms. Wang will go over recent business updates, operations and the company's long-term strategy. Ms. Lu will go over the financial results for the quarter. Both will be available to take your questions in the Q&A session that follows.
Lihong Wang: Thank you, Karen. Hello, everyone. Thank you for joining our earnings call today. Despite the tough environment caused by the COVID-19 pandemic in the first nine months of 2020, we have faced our challenges head on with stride and we are very pleased with the company's accelerated recovery in the third quarter. Overall, as of date, our operations have generally returned back to pre-pandemic norm, including all of RISE self-owned learning centers reopening by the end of September. We have received a very positive feedback from parents who were keen for their children to return to regular classrooms as soon as off-line classes were allowed to resume in cities nationwide. Our financial and operational performance has seen encouraging results with quarterly revenue nearly doubling from the prior quarter. Disciplined cost management and a well-planned marketing strategy puts expenses well under control and help the company turn profitable in the third quarter, fueled by strong growth momentum. I will begin my remarks from slide 3. When COVID-19 hit us and our industry in early 2020, we put in tremendous efforts, which allowed us to navigate the business through unprecedented risks and uncertainties to turn top times into an opportunity for change. The pandemic drove us to ramp up our online capability in a short period of time, laying a solid foundation to transition our core business into the online merge offline or OMO model. Let's move on to our financial and operational highlights for the third quarter on slide four. Revenue was RMB320 million in the third quarter, up 94% from the prior quarter. Adjusted EBITDA and net income attributed to Rise, both returned to positive territory, achieving RMB58 million and RMB 28million, respectively.
Jiandong Lu: Thank you. Thank you, Lihong. Let me now go through our financial results for the third quarter of 2020. Before I begin, please note that all numbers stated are in RMB. As expressed by our CEO, Wang, we have been very encouraged by the strong performance and the recovery of the business in the third quarter, as all of our learning centers had reopened by the end of September.
Operator: Thank you so much. Ladies and gentlemen, we will now begin the question-and-answer session.  And our first question comes from the line of Sheng Zhong from Morgan Stanley. Your line is now open.
Sheng Zhong: Hey good morning. So I have two questions. The first one is, it looks at that your business is continuous recovery. So can you please share us what’s your initial outlook for next year? And also, can you give us some gross plan for the next year? And second question is the students acquisition channel or the new filing enrollment percentage from different channels, like including the -- your internal word-of-mouth from online and offline? Thank you.
Lihong Wang: Hi, Sheng Zhong, thank you for the question. So the first one -- next year's outlook and potential the growth rate, we are actually very optimistic about next year. As we mentioned in the presentation, all the operations are actually back to norm. We've added capabilities from acquisition channel to online core delivery with the enrollment also is very strong. We already added teaching and salesperson to capture that demand. So, next year, my -- we were still undergoing our budget discussion, however, I think the growth rate will be very high. Hopefully, we can -- the educational program can almost match the number of 2019. So, you can imagine the growth rate will be in 30%, 40%, if not higher. So, that's the first question. The second question is in terms of acquisition channels -- student acquisition channel, I can give a high level of description and Jiandong can talk more about it. In fact, we increased the word-of-mouth. I do think the strong momentum reflects two things; one is demand to coming back to offline classroom is very strong. Second is our offline network is very valuable to capture the demand very effectively. In second quarter and third quarter, we started what we call the cooperations with other institutes, especially early education institutes like Gymboree, like LYC Kid. And recently, you all noticed that another institute called Hyosung went down, but we actually acquired their students pretty precisely in Beijing and Shanghai and some other cities in second quarter for the other -- for this type of cooperation gave us a very strong inflow of students. And the acquisition cost for this channel is very easy to control because we can set up terms to acquire the student below certain threshold. So, I think Jiandong has the split between the online and offline acquisition protected. And Jiandong, you can elaborate further.
Jiandong Lu: Okay. All right. Hi Sheng. As a matter of fact, when starting to reopen our offline learning centers, we do see the very quick pickup of the students enrolled offline as a percentage of the total students enrolled for the whole month. And the percentage from the offline channel actually grow very steadily, almost by 1% every single month, starting from June up to actually October numbers. So as of now to give you an average number, the offline acquisition still account for actually more than 65% as compared to the same period of the prior quarter. This is one number I can share with you. The other metrics that we look at our very strong momentum in enrollment is actually our conversion rate and increased very steadily since June, almost 1% increase in conversion rate from June until October. So that's a very significant number. The increase in the conversion rate will help us to reduce the acquisition cost for each student. And other thing we actually find is our offline acquisition cost is significantly lower compared to the same period of last year, which tells as Lihong mentioned, after COVID-19 and some -- many all medium-sized offline operators actually have cash issues and went into bankruptcy. And the competition actually seems to be released quite briefly compared to last year. So that's a very promising phenomenon we have witnessed. So – and at the same time, we have also seen the decrease in our acquisition costs from the online channels, which demonstrate our abilities to actually learn how to do the marketing online and also reflects our very well-managed investment acquiring students online, unlike other institutions, which are actually pouring their fund just in order to apply students, offer the classes free of charge for multiple lessons for trial, and -- which doesn't generate -- which doesn't contribute profit to the company just for acquiring the volume or the sake of the acquiring volume.
Lihong Wang: Yes. Sheng, just to add that, even though our acquisition cost online reduced a little bit vis-à-vis quarter 2. But if you compare with last year, definitely the online acquisition cost increased pretty significantly. I think you definitely can observe that from other education company as well. However, as Jiandong mentioned, we utilize our offline channels really effectively, and that is a very low-cost channel, so blended cost of acquisition for us definitely is very well under control.
Sheng Zhong: Thanks very much. That’s very helpful.
Operator: Thank you so much.  And our next question comes from the line of Howard Yang from Crédit Suisse. Howard, your line is now open.
Howard Yang: Thank you for taking my questions and congratulations on a solid quarter after 2019. So I got two questions. And I think the first question in terms of the enrollment. I would like to get a little bit details on the third quarter enrollments, especially we mentioned Beijing and Shijazhuang only resumed operations in end of September. So, if that means that these two cities have actually contributed nearly no contributions in the third quarters. And does that mean that the new student enrollment in other cities are actually seeing strong momentum compared to last year? And at the same time, in terms of the fourth quarter after the reopening of the Shanghai – of the Beijing and Shijazhuang, how are we going to see the current stages of the enrollment in these two cities? And I think secondly, also a follow-up on the acquisition cost. We mentioned that actually, the offline acquisition cost was lower year-on-year, and the share of offline is actually increasing this year. And the blend basis is under control. So could we have any like quantified numbers of the blended CAC in the third quarter? Because I remember in last quarter, you mentioned the blended CAC was actually flat year-on-year?
Lihong Wang: Okay. Yes. Howard, nice to meet you online. So I will answer the first question first. And then the second one, I can ask – answer briefly and then Jiandong give you breakdown. For enrollment, in fact, even during COVID-19 pandemic when offline centers were closed, we actually engaged actively online to do online student acquisition, to set up online demo. So the student acquisition never really stopped. But you can imagine the effectiveness of those online student acquisition is low. Therefore, you're right, when Shijazhuang, Beijing offline centers closed, the ability to enroll new students is not as strong as we like. However, for the third quarter, you can see that the student enrollment in other cities, Shanghai, Shijazhuang and those are actually very strong compared with last year. It's all in positive territory. Shijazhuang, for example, we actually see more than 30%, 40% growth year-over-year. And for Beijing and Shijazhuang, even with a majority of the quarter, the centers closed, we're still are able to acquire new students, but slightly lower than last year because Beijing is the biggest contributor. So when Beijing still not fully recovered. Our third quarter enrollment altogether, is still down from last year. However, in October, all the learning centers are opened. We actually see very strong momentum nationwide. So every city from Beijing to Shanghai, Guangzhou, Shijazhuang, all the enrollments in 2020 October aggregate the SOX, we see more than 40% of enrollment growth year-over-year. You know that October is not a high season, September was. So we actually are very encouraged to see this number. And we believe the fourth quarter, overall, will have a much stronger enrollment vis-à-vis last year. This is also a measure that we've take into catch up on student enrollment to really increase our market share when other suppliers are actually under weather. So as Jiandong mentioned, strong demand, a fewer providers to compete and so that's the overall enrollment. On student acquisition costs, I think -- I don't know whether we disclosed in such detail, but for the offline cost, we actually see a major decline quarter-over-quarter. It's about like a 20%, 30% decline for the offline. I think this really contribute to higher conversion rate. And Jiandong, you can give more information to Howard?
Jiandong Lu: Okay. I remember last quarter, we actually share with our investors and also analysts the estimate number for the acquisition cost. For that quarter, it's actually around 5,000 per student. And for this quarter, it's actually lower, which is actually -- we control it actually below 4,500 blended average acquisition cost. As Lihong mentioned, I can give you a little bit more color on offline acquisition costs. Last year, the same period, offline acquisition costs are actually above 1,000. But this year, it's at least 25% to 30% lower than 1,000 last year. So which tells our offline network, actually, for marketing and enrolling new students a very effective channel and lower cost and very productive.
Lihong Wang: And I wanted to add to that point. In fact, this has been down when we actually sort of -- sales people on the ground. And now we try to increase sales person per school to capture the strong demand. So, hopefully, as I mentioned, the fourth quarter, you'll see a higher growth year-over-year. And so for the six months together, Q3, Q4, we definitely will have a stronger year in 2020.
Howard Yang: Thank you. That’s pretty clear.
Operator: Thank you so much.  And your next question comes from the line of Hung-Yeh Kyaw  from . Hung-Yeh, your line is now open.
Unidentified Analyst: Hi. Thanks. First, congratulations for your good performance in the third quarter? And I have two questions. First is, do you have any plan to open the new learning center next year or next quarter? What's the expected number of the sales -- jobs on learning center and the franchise, respectively? And the second question is, I would like to learn more about the OMO model and like how did it improve the utility? Thanks.
Lihong Wang: Okay. For school opening, do you mind you give guidance to home , and then I'll talk about that little more further.
Jiandong Lu: Okay. In the third quarter, we opened two new learning centers. And in the fourth quarter, we plan to open two more. As you know, pandemics actually basically stop us from suspending our expansion plan for 2020. Initially, early in the year, we plan to open a total of 15 and so the backlog of the 11 will actually be rescheduled to the next year. So for the 2020 year plan for CapEx in opening new learning centers, it's going to be in high double digits, definitely above 15, so what do -- it really depends on the location. If we can find the good location, we'll definitely will open. So the pace is actually somewhat dictated by whether we can find an optimal decision to open our learning centers. But the plan is definitely high double digits.
Lihong Wang: Right. Just to supplement on that, we see very strong growth in cities like Shenzhen, Guangzhou, and Shanghai. It reminds me the time of Beijing in 2015-2016. As I mentioned earlier, for example, third quarter enrollment in Shenzhen increased nearly 40% year-over-year. We actually did not open new schools. So for us, we definitely think we want to capture the strong market demand in those cities, therefore, next year, we'll catch up on school opening. We do feel -- we -- one thing we need to do is to train enough qualified teachers and salesperson and manager, so that we can really manage those schools well. On the franchisee side, in -- our long-term plan is to open 30 to 50 schools every year for the next couple of years, mainly focused on tier one to tier three cities, which has good affordability and capable franchisees. So that's number one. On the OMO model, I think last quarter's earnings release, I mentioned briefly, for OMO, there are actually a couple of components. The first component is to reduce the cost time from 50 minutes to 40 minutes. This adjustment has already started in the first half of September. The new student's coming to K1 to K3 already adopted this new schedule. This alone, of course, will actually help the cost utilization from 100 to 138. So that's 38% of increase of custom utilization. The second component of the OMO is to move the week day classes above S2 to online. So this one will make the students more convenient when they have schools during the weekdays. And this, of course, will also increase the classroom by 4%. The reason this percentage is small because the majority of our students are actually below S1. So S2, it's only a small portion of the students. The third component for the OMO is to -- for the online classes, we used to split into three groups so every group is one versus six. And now we actually upgrade our technology target to split the classes into two. So, every class will be one to eight or one to 10 online. So, this alone will actually can increase the online class time for the students and then reduce the teachers' burden to teach three time, so all these measures, together, should be able to increase the classroom utilization by nearly 60%. Of course, this needs to be gradually implemented. So, we just started, as I mentioned, the new students moved from 50 minute to 40 minute. And then from December, we'll try to adopt that to existing students and then online with the technology ready will enlarge the online class number of students. I think the last step is to reduce the total cost hours. That's a longer-term -- that's next year's plan. I hope it's clear.
Unidentified Analyst: Thank you.
Lihong Wang: I think by moving this to OMO, we'll also be able to open the classes more faster because online, we actually have coring teachers those are part-time teachers. And for the full-time teachers, we already have -- they then more capacity to teach new classes, therefore, help us to recognized revenue faster. So, we wanted to speed up from enrollment to opening new classes.
Unidentified Analyst: Thank you.
Operator: Thank you so much. And your next question comes from the line of  Wong from UTI Securities. Your line is now open.
Unidentified Analyst: Thank you. Good morning management. My question is also about the OMO model. And so please describe more details about the OMO model, for example, from the student point of view -- from the student side, are there different products concerning about online or offline for the students to choose. Like -- I'd like to know what's the product look like. And maybe in one product, there are some online part and offline parts or just different products? And also from the complaint side, are the running teams for offline separated? Or they are just one team and also for the teachers, and are the teachers for offline courses separated. So, I'd like to know about the details. And also, another question is that what is the company's future plan for the OMO model? What will it be like in the future? So that's my question.
Lihong Wang: Yes. Yes. I think everyone now talk about OMO. However, I think it can be all different. It depends on how you organize it. And what's the purpose to offer online merge with offline teaching and learning experience. For RISE, I would say, first, we have this OMO model adopted for our regular courses. And second, we do offer pure online classes. These two lines are different. But come to OMO model for the regular courses, our approach is online and offline are integrated. This is one course we are teaching, its just we splitted online and offline for different components. For example, RISE curriculum is highly interactive. It is organized with project-based learning. Therefore, offline is a small group classes with a lot of activities that you need to conduct offline. We do feel this interactive teacher and learning experience really differentiated and focus on not only knowledge transfer or teaching, lecturing, but help our students to know how to communicate, how to collaborate in the team and how to perform a certain leadership functions within the group. Therefore, when we think about OMO model, we wanted to use the online portion only for knowledge transfer or the focus a texts, for example, language – in the language learning, you have grammar that you can actually easily move online to learn. And in some rating comprehension and also speaking, right, the language you need to practice. Therefore, for the online component, we – for the higher grade, we offer foreign teachers so our students can have the exposure to learn how to speak in authentic language environment and how to practice those grammar and then learn spelling, for example. So this is very tax-driven, can be pretty effectively online. But for the organized activities, we prefer to do it offline. Even though we are trying to create interactive technologies online so that the pandemic somehow hit certain region or classes, again, we can actually improve the online learning experience going forward than what we had today. So this is – the OMO model is one course. It's integrated. It's just offer different component adjusted to the advantage of online or offline. Then as you mentioned, the teacher already talked about that a little bit when I answer the question from . For the Chinese teachers, right now, we actually -- there are employees of RISE. And they -- that's -- they conduct mostly offline, but they have the capability to do online classes as well. And we added foreign teachers, mostly part-time teachers for the online pieces. So the way I already mentioned that we also offer pure online classes. As of today, mass logic thinking and dual-teacher online English, small classes are purely online. And going forward, we'll continue that effort to offer online classes just for the convenience of our students who wants to have multiple subjects. So that's one way to enlarge the student base. Also the other way to extend our lifetime value for existing students increased ARPU as well. That's a separate…
Unidentified Analyst: Thank you. That’s very clear.
Operator: Thank you so much. And your next question comes from the line of . Your line is now open.
Unidentified Analyst: Thank you for taking my question. Could management share more information about the market dynamics of child English learning? You just mentioned that one of your competitors went bankruptcy recently. So how do you evaluate the market consolidation opportunity going forward? What's the management plan to cope with the change? And also, how will you capture the opportunity here? Thank you.
Lihong Wang: Thank you. That's a very good question. I would say after the pandemic, the market definitely become more dynamic. On one hand, we see people very actively offer online classes, including AI-driven classes, like Banma , for example. On the other hand, we see difficulties running offline centers as you see, for example, Disney English exited market. Some of our competitors went under, so I do think the market continues to evolve. However, it proved a couple of things. One is the underlying demand is still very strong, both online and offline. And English definitely is major subjects that all people wanted to get into. So you do see other people like Wonderslate , for example, acquired Moly-Drop , which is English subject, because English subjects has much bigger addressable market than other subjects. That's the first thing first. The second thing, I do feel the -- if you wanted to grow, you need to improve user experience to really offer a curriculum that can yield results. So going forward, the companies not only need to spend money to acquire students, it also needs to focus very much on the so-called the whole journey of the learning otherwise, the higher -- very high acquisition costs without a high retention rate and renewal rate, I think that, that business model will not be able to sustain. The third thing is that you mentioned the consolidation or certain other changes, I do feel, number one, people are very natural in terms of subject -- expecting expansion or cross disciplinary offering. As I mentioned, this is a natural way to dilute the customer acquisition cost and extend the improved time value -- student time value. The other thing, of course, could be consolidation among educational institutes. I think on that front, it's started. However, it's not easy to do. With the organizational issues and culture, social issues, even the curriculum may be a different kind of learning purpose. For example, if it's test prep plus the so-called the skill base, it will be very difficult to combine. Therefore, I think the combination or consolidation will happen. However, you need to be skilled for making that happen, make that work. And for RISE, I think, as I mentioned, the first natural way is to extend into cross-disciplinary, taking advantage of the existing student base for the cross-selling. The second is I do feel we already built a strong offline network. We also have the online infrastructure. We should utilize both networks to expand beyond the current course and curriculum. Then the next thing is to make certain investment or acquisition to expand our capabilities. However, I think the target -- we've seen quite a number of targets. But I would be cautious to make that move. I hope it's accretive rather than just bringing the students, but also dig a hole for yourself. So, I -- my answer -- short-term answer is, yes, it will consolidate. And it's a skill for -- it require a lot of skills and careful execution. But I think RISE would be able to do that when we are ready.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you so much. And your last question comes from the line of Howard Yang from Credit Suisse. Howard, your line is now open.
Howard Yang: Hey. I got another question to quickly follow-up. So, for -- you just mentioned that some small players like Yoshi has actually in the market. So, I just want to understand a little bit the current growth in enrollment. What do -- how much do you think is driven by the -- some smaller players exit the market? And how much is driven by our -- like more efficient marketing approach. Thank you.
Lihong Wang: Howard, it’s a good question. I would say both. One is proactively we are actually setting up, as I mentioned, the cooperation with companies like Gymboree and NYC kid . We also reach out to Disney English and New Show  to offer the same kind of program that we can have their students transfer to us and absorb a portion of the prepaid tuition, this will be our acquisition costs. However, this also helped the other education company to recognize revenue, reduce their contingent liability, which is prepared to RISE. So this is a win-win approach for us. We control our acquisition costs. We have a precise target students and the other firm can actually reduce their liability or recognize new revenue. The other thing, of course, as you mentioned, we increased the word-of-mouth channel. And for example, in Beijing, like, for the trade. So all these actually help us to capture larger market share. Therefore, as Jiandong mentioned, one is, we do have a lower cost, the portion of lower cost channels increased. The second is, the conversion rate actually improved. So both contribute to better customer acquisition cost. I also think the so-called Tubi channel is something that we're going to really expand going forward. And to manage the Tubi channel, we actually have our team -- very experienced team coming from other industries. I think education industry, in some way, never really paid enough attention to this Tubi channel. One event I can elaborate a little bit. During the last week of October, we target hospital staff, we had a promotion using so-called private traffic. In the very few days time, we had more than 1,500 -- the hospital staff or parents coming into our community, and we actually can convert that. I sent a promoter and I -- just myself, actually got like 200 leads into this community. So I think we can do this much, much more in the future, to have a better approach on student acquisition and control the cost.
Howard Yang: Thank you. That’s pretty helpful.
Operator: Thank you so much. And that does conclude our conference for today. Thank you all for participating. You may now disconnect.